Operator: Hello, everybody, and welcome to the Perion Network Ltd. fourth quarter and full year 2024 earnings conference call. Today's conference is being recorded, and an archive of the webcast will be posted on the company website. The press release detailing the financial results is available on the company's website at www.perion.com. Before we begin, I'd like to read the following safe harbor statement. Today's discussion includes forward-looking statements. These statements reflect the company's current views with respect to future events. These forward-looking statements involve known and unknown risks, uncertainties, and other factors, including those discussed under the heading risk factors and elsewhere in the company's annual report on Form 20-F that may cause actual results, performance, or achievements to be materially different from any future results, performance, or achievements anticipated or implied by these forward-looking statements. The company does not undertake to update any forward-looking statements to reflect future events or circumstances. As in prior quarters, the results reported today will be analyzed both on a GAAP and a non-GAAP basis. While mentioning EBITDA, we will be referring to adjusted EBITDA. We have provided a detailed reconciliation of non-GAAP measures to their comparable GAAP measures in our earnings release, which is available on our website and has also been filed on Form 6-K. Hosting the call today are Tal Jacobson, Perion's Chief Executive Officer, and Elad Tzubery, Perion's Chief Financial Officer. I would now like to turn the call over to Tal Jacobson. Please go ahead.
Tal Jacobson: Good morning, everyone, and thank you for joining us today at Perion Network Ltd.'s Q4 2024 earnings call. 2024 was a pivotal year for us at Perion Network Ltd. It was a year of laying the foundation for a transformation that is now coming to life. Over the past year, we have been strategically aligning our technologies, operations, and vision, setting the stage for the launch of the PerionOne strategy. With PerionOne, we are uniting all of our technologies under one platform, in all our business units and brands under one roof. While this strategy is expected to attract more customers through our unified platform, it is also transforming our organization to become more efficient than ever before. Under this new strategy, we focus on AI development for both customer-facing products and operational efficiency solutions. We believe that PerionOne is the perfect platform for a deeply fragmented $700 billion industry, an industry that is forcing advertisers to navigate a complex maze of platforms, formats, and channels. The focus has long been on where ads run, whether it's CTV, open web, digital out-of-home, or social, rather than what truly matters: reaching the right customers at the right moment with the right message to drive exceptional results. This fragmentation leads to inefficiencies, wasted spending, and missed opportunities. At Perion Network Ltd., we believe this complexity shouldn't be the advertiser's problem to solve. That's why we're building PerionOne, to unify, simplify, and amplify the advertiser's journey, ensuring advertisers can focus on impact and results, not execution challenges. The foundations of PerionOne are based on advanced AI capability that infuse personalized messaging for every brand moment. The role of PerionOne is to solve the complexity of omnichannel advertising and provide a unified AI-driven advertising infrastructure that delivers precision, efficiency, and measurable results. In this pivotal moment in Perion Network Ltd.'s history, I'm happy to reveal a first look at our PerionOne platform. This platform will unite all our technologies in one place, providing our customers with an advanced portal into creative insights and planning of any brand's next great advertising moment. PerionOne will bring together CTV, digital out-of-home, retail media, social, and open web capabilities under a single AI-driven platform. It is a fundamental change in how digital advertising should work. Instead of siloed solutions, PerionOne will provide advertisers with a seamless, intelligent platform that optimizes campaigns across every major channel. With PerionOne, brands will benefit from greater economics, enabling every advertising dollar to be optimized for maximum impact. The platform will offer increased efficiency to eliminate execution friction and streamline processes. Its advanced AI-driven performance will automate optimization at scale, and a smarter supply path will enrich DSPs and SSPs with premium inventory. The PerionOne platform will be gradually rolled out to our customers in the upcoming months. To fully capitalize on our new strategy and accelerate our transformation, we've strengthened our leadership team with some of the best talent in the ad tech industry. I'd like to welcome three exceptional leaders to our management team: Steven Yap, a Google veteran, joined us as our new Chief Revenue Officer to lead our advertising sales worldwide; Kenny Lau, an ex-Criteo and ex-Parametric, steps in as our Chief Product Officer; and Mina Nagib, who was part of the leading team that architected the Samsung Ads technologies, takes on the role of our Chief Technology Officer. Mina will lead all our technologies, including our advanced AI solutions and infrastructures. This exceptional management team of tier-one leaders in the ad tech industry is instrumental. We believe it will expand our reach, deepen customer relationships, and unlock new growth opportunities. While preparing for this transformation, we continue to deliver strong performance on all of our three core growth engines: digital out-of-home and CTV, alongside our retail media, as we continue to see adoption of our technologies with retailers. All our growth engines have consistently outpaced the market, and we believe they will continue to be the drivers of our future success. In 2024, our digital out-of-home grew by 50% year over year, outpacing the 10% year-over-year market growth reported by eMarketer. This reflects our programmatic innovation and Perion Network Ltd.'s ability to drive higher performance than the industry. Our CTV solutions grew by 30% year over year, surpassing the 23% year-over-year market growth. Our investments in advanced targeting and cross-device solutions continue to drive this momentum. As you recall, we expanded those capabilities with our new partnership with Experian, which we announced during Q4. Retailers continue to adopt our solutions. Our retail media grew by 62% year over year, more than tripling the industry 20% year-over-year growth. Each of these areas represents a high-growth, high-value market. Integrating them into PerionOne gives us a unique competitive advantage, positioning us to accelerate future growth. Today, we're introducing a new way of looking at our results by breaking them down into channels. We believe this provides greater transparency into the new PerionOne structure. It reflects our evolution into a platform that delivers greater efficiency and value. By aligning our reporting with our strategic focus, we enhance visibility and foster a more meaningful conversation with our investors and customers. Now our CFO, Elad Tzubery, will walk you through our financial results.
Elad Tzubery: Thank you, Tal. And thank you all for joining us today. 2024 was a challenging year for Perion Network Ltd. Nevertheless, we ended the year both profitable and with positive operating cash flow. In addition, we met the annual revised guidance that we provided in June 2024 for revenue, adjusted EBITDA, and adjusted EBITDA to contribution ex-stock margin. The strength of our balance sheet allows us to execute on our capital allocation priorities and growth plans, both organic and non-organic. As of December 31, 2024, we repurchased a total of 5.2 million shares for a total of $46.9 million. As we enter 2025 under the PerionOne strategy, we are unifying our technologies and brands into a single cohesive ecosystem. As part of this change, we have started streamlining our operations and optimizing costs through headcount reductions during the first quarter of 2025. This will also allow us to strengthen our ability to attract and serve more customers, run more efficient sales and marketing operations, maximize synergies across our entire organization, and leverage a unified and connected data platform to drive smarter decision-making and higher margins. We expect these efficiency measures to continue to have a positive impact on our profit margins through 2025 and going into 2026. Moving to our financial results. For the full year, revenue amounted to $498.3 million, a 33% decrease year over year. This is mainly related to the decrease in search revenue and the weakness in our open web video and standard ad formats. However, the decline in revenue was partially offset by continued strong performance of our growth engines. Adjusted EBITDA was $50.9 million, resulting in a 10% adjusted EBITDA margin and a 24% ex-stock margin. GAAP net income for the full year was $12.6 million, while non-GAAP net income was $64 million. During 2024, we generated cash flow from operating activities of $6.9 million and adjusted free cash flow of $16.6 million. As of December 31, 2024, net cash, including cash equivalents, short-term bank deposits, and marketable securities, was $373.3 million. Turning to our fourth-quarter performance. Revenue was $129.6 million compared with $234.2 million in the same period last year. Our adjusted EBITDA for the fourth quarter was $15.5 million, resulting in a 12% adjusted EBITDA margin and a 28% ex-stock margin. GAAP net income for the fourth quarter was $4.9 million, while non-GAAP net income was $16.1 million, resulting in a non-GAAP diluted earnings per share of $0.33. Our cash flow from operating activities remained positive, generating $4.3 million. Advertising solutions revenue for the fourth quarter was $104.1 million, down 13% year over year, representing 80% of total revenue. This decrease was expected due to the declining open web video and standard ad formats, as advertisers are shifting their budgets towards social video and higher-end solutions. This decline was partially offset by the continuous momentum from our core growth engines, CTV and digital out-of-home channels, and our retail vertical. Digital out-of-home increased by 57% year over year in the fourth quarter on a pro forma basis, representing 27% of advertising solutions revenue. For the full year, digital out-of-home increased by 50% and represented 21% of advertising solutions revenue. Our CTV business increased by 10% year over year in the fourth quarter, representing 15% of advertising solutions revenue versus 12% last year. For the full year, CTV increased by 30%, representing 13% of advertising solutions versus 8% in 2023. Our retail media business, a fast-growing market vertical, posted another strong quarter, primarily boosted by our digital out-of-home business. In the fourth quarter, retail media revenue grew by 34% year over year to $27 million. For the full year 2024, retail media revenue delivered an impressive 62% growth in comparison to 2023, reaching $80.6 million. I would like to highlight that all three growth engines outpaced the market growth in 2024. According to eMarketer, digital out-of-home ad spending in the US grew by 10% year over year compared with Perion Network Ltd.'s 50% growth. CTV grew by 23% year over year compared with Perion Network Ltd.'s 30% growth, and retail media grew by 20% year over year compared with Perion Network Ltd.'s 62% growth. Turning to our search advertising. Revenue for the fourth quarter totaled $25.5 million, accounting for 20% of our total revenue. As we previously discussed, we did not renew our contract with Microsoft Bing that ended on December 31, 2024. Yet, in 2025, there is a tail period in which we expect to generate revenue. Overall, our search advertising is expected to remain stable, representing about 20% of our total revenue. In the fourth quarter, the contribution excluding traffic acquisition costs margin was 42% compared with 39% in the fourth quarter of 2023. On an annual basis, contribution ex-stock margin was 43% compared with 42% in 2023. This is primarily due to the changes in our product mix focusing on more profitable solutions. Adjusted EBITDA for the fourth quarter was $15.5 million or 12% of revenue and 28% of contribution ex-stock. This compares to $53.9 million or 23% and 59% respectively in the fourth quarter of 2023. For the full year, adjusted EBITDA totaled $50.9 million or 10% of revenue and 24% of contribution ex-stock. This compares to $169.1 million or 23% and 55% respectively in 2023. During the second half of 2024, we implemented cost reductions and efficiency measures. These helped us moderate the year-over-year decrease in adjusted EBITDA that resulted from the business decline in the first half of the year. On a GAAP basis, our fourth-quarter net income was $4.9 million or $0.11 per diluted share versus $39.4 million in Q4 of 2023 or $0.78 per diluted share. On a non-GAAP basis, net income was $16.1 million or $0.33 per diluted share versus $52.9 million in Q4 of 2023 or $1.04 per diluted share. For the full year, GAAP net income was $12.6 million or $0.25 per diluted share versus $107.4 million in 2023 or $2.34 per diluted share. Non-GAAP net income was $64 million or $1.27 per diluted share versus $167.4 million or $3.33 per diluted share in 2023. During the fourth quarter of 2024, we generated $4.3 million in both cash from operations and adjusted free cash flow. On a full-year basis, we generated $6.9 million in cash from operations and $16.6 million in adjusted free cash flow. This gap in 2024 between adjusted EBITDA and adjusted free cash flow is attributed to the year-over-year change in the working capital related to our business with Microsoft Bing and the post-acquisition investment in Highsec's working capital. For 2025, we expect our cash flow conversion from EBITDA to resemble past performance patterns. We expect to continue our decade-long track record of generating positive cash flow from operations and adjusted free cash flow. In the fourth quarter, we continued with our share buyback program and repurchased another 1.6 million shares for a total of $13.4 million. To date, we spent $46.9 million repurchasing shares against our total authorization of $75 million. As of December 31, 2024, we had on our balance sheet $373.3 million in cash, cash equivalents, short-term bank deposits, and marketable securities. Entering fiscal year 2025 and given our strong financial position, we are confident in our ability to execute our capital allocation strategy, balancing between share repurchases, organic investments, and selective acquisitions that complement our growth strategy. Looking ahead towards 2025, we are providing our full-year financial guidance and we are introducing our core key performance indicators. These indicators provide a more accurate and helpful way to assess the strength of our business. As a result, going forward, we will begin sharing revenue breakdown by advertising channels: digital out-of-home, CTV, web, and search. 2025 will be a transformative and exciting year for us at Perion Network Ltd., one in which we are focusing on solutions that are more profitable and better aligned with our mission to make digital advertising more effective for our customers and, in turn, make our business more efficient. For the full year 2025, we expect to generate revenue of $400 to $420 million, adjusted EBITDA of $40 to $42 million, and adjusted EBITDA to contribution ex-stock margin of 22%. To summarize, we ended 2024 on a positive note, and we are excited for what's to come for Perion Network Ltd. in 2025. With that, I will now pass it back to the operator for the Q&A session. Thank you.
Operator: If you wish to ask a question, we ask that you please use the raise hand function at the bottom of your Zoom screen. Or if you have dialed in, please press star nine. Our first question comes from Andrew Marok with Raymond James. Andrew, please unmute your line and ask your question.
Andrew Marok: Great. Thank you for taking my questions. Appreciate the new disclosure format and wanted to talk quickly about the open web business. So things are pretty tough there right now and looking like it might that Tal Jacobson talked about. But in your estimation, how much of that is addressable via the PerionOne reorg that you're working on and how much is down to just tough conditions in the space overall?
Tal Jacobson: Thank you for the question, Andrew. You absolutely divide, you know, open web as an industry, as a channel, is not a growing part. But we do believe that for us, within the PerionOne platform, as we are onboarding new advertisers to use our platform for all channels, we do think that over time our open web will start to strengthen again. So we are optimistic on that, but we're also putting a lot of focus on CTV.
Andrew Marok: Of course. Yep. The growth area is appreciated. And then really quickly, if you could maybe give a little sense of the PerionOne reorg's effect on the 2025 outlook. I guess, what kind of has to still be done behind the scenes, and how much has figured into the guide in terms of incremental cost for any remaining work to be done or potential top-line disruption as clients get moved over.
Elad Tzubery: Thank you for the question. Regarding the PerionOne strategy, first of all, as part of this change, we already took some measures in the first quarter of 2025 and are going through some headcount reductions. I believe that going into the future, the ability to unify everything together will actually help us to run much more efficient sales and marketing operations. By having the platform within the agencies, they will have access to all of our offerings, and it will be much more efficient in our sales pitch. They will have everything in place to be able to increase the budget and, by that, allow us to be much more efficient in our efforts. In addition to that, we already took into consideration in 2025 the guidance some of those initiatives inside, mostly around operational efficiency, and, of course, the ability to leverage all of the data and to enjoy improved margins into 2025. Having said that, we do expect that the full impact of change will actually be reflected in 2026. But some of this is already, of course, reflected in 2025, mostly in the second half of the year.
Operator: Next question comes from Jason Helfstein with Oppenheimer. Please unmute your line and ask your question. Jason, please use star six to unmute your line.
Jason Helfstein: Okay. Can you hear me now?
Tal Jacobson: Yes.
Elad Tzubery: Yes.
Jason Helfstein: Okay. Great. Hey. So two questions, like, two-part on PerionOne. So one, I guess it's when you think about making a shift, how does it allow you, once you're done, to kind of talk about how you're planning to use automation to actually improve the gross margins of kind of the dollars that will move to PerionOne. And then I guess it's like you just talked about in your last answer, you think there's going to be an efficiency on the sales and marketing. So do you think both there's a long-term benefit to gross margin on efficiency of executing the campaign using automation? On top of that, it improves the go-to-market because the tools will be with your customers, and so you won't have to spend as much on sales and marketing. And then maybe tie that back to how much of the slowdown in open web was you proactively slowing down because the cost of running these campaigns wasn't productive as opposed to the market causing the slowdown in that spend. Thank you. Yeah. That's fine. So kind of three questions there. Thank you.
Tal Jacobson: So let's start with automation. So we're absolutely focusing on a lot of automation, anything AI-driven. Automation to reduce the level of manual work that we do today. So as we scale, we do see better efficiency. That's the core factor of this reorganization. How do we get more work with less manual labor? This goes hand in hand with our sales and marketing. So currently, when we're getting new campaigns, it's a lot of manual work. And we're shifting that towards automation. This is ongoing work. We've started that six or seven months ago, and we're just in the middle of the process. But we do expect to become more and more efficient. As to marketing, you know, Perion Network Ltd. had five different brands up until now. Now we only have one. So the marketing dollars are now focused on only one brand, which should give us, for the same money, five times more efficiency on our marketing dollars towards our own brand. As for the web, you know, you've asked, and I think you're absolutely right. You know, when we look at this new organization, we realize a lot of the things we have are still apparent since 1999. A lot of things are still kind of legacy with old technology. So some of the things we needed to figure out, are we going to continue to do those with old technology that is not really relevant for the future, or rebuild that or just let it go. And we've decided on some things that are with lower margins and that needed refactoring to the technology, to just let them go. And this is why you actually see a lowered guidance than what we previously thought of giving because we want to focus on the high-growth parts. And we didn't want to reinvest in old technology that wasn't future-proof. And we only want to focus on high-margin. This is why, you know, if being is very alive within the PerionOne platform, the newest super talented executive that we brought on board, and even the guidance, which is super focused on the strategic parts and the high-margin parts. I hope that answered the question.
Jason Helfstein: Yeah. That's good color. Thank you.
Elad Tzubery: Thank you.
Operator: Our next question comes from Eric Martinuzzi from Lake Street. Please unmute your line and ask your question.
Eric Martinuzzi: Yeah. The CTV growth for the year was up 30%, but it did slow to a 10% growth rate in Q4. Just wondering what sort of growth rates you've baked in for 2025.
Elad Tzubery: Thank you, Eric. So regarding the CTV, you're correct. You see, CTV Q4 was 10%. But we actually saw in Q4 some value shifts also to the out-of-home. Under the anywhere TV, some of those dollars in Q4 were actually shifted to out-of-home. And I think that, as you mentioned, the overall yearly performance of our CTV is still outperforming the market. And if we are looking at 2025, we believe that also in 2025, we will be beating, at least beating, the market growth for CTV.
Tal Jacobson: Yeah. On an annual basis, we do expect to continue to beat the market on CTV.
Eric Martinuzzi: Okay. And then I missed it, but you commented on the translation of adjusted EBITDA. So at the midpoint, we've got $41 million of adjusted EBITDA. What does that translate into for free cash flow for the year?
Tal Jacobson: That's an excellent question. So even though our EBITDA this year is lower than 2024, on our cash flow, we do expect it to be much higher than 2024. Elad, can you give me full color?
Elad Tzubery: Yes. 2024 was so one-time gaps that happened mostly as a result of the year-over-year change in the working capital related to our search activity and, of course, building the working capital for Highsec following the acquisition. In 2025, we're expected that our cash flow conversion from the EBITDA will be back to the normal rates as we used to see before 2024. Meaning that the adjusted free cash flow and the EBITDA would be very close to each other.
Eric Martinuzzi: Okay. Thank you for taking my questions.
Tal Jacobson: Thank you. So cash flow-wise, it should be a better year than 2024.
Operator: Next question comes from Laura Martin with Needham and Co. Please unmute your line and ask your question.
Laura Martin: Hey there, Tal. Love the new disclosures. Agree with Andrew on that. So I wanted to start with the retail media vertical. So up 34%. When I think of retail media, I think of CTV only. Can you confirm what the mix of the retail media vertical is? And then secondly, a lot of people, your competitors, are saying it opens up new total addressable markets because you can attract SMBs to retail media. Can you talk about whether you're getting new clients in retail media? And then third, specifically related to retail media, are there other verticals like this one that we should be thinking about a lot that are becoming as large as the retail media vertical, which you break out now?
Tal Jacobson: Yeah. Absolutely. It's great to hear from you. And thanks for the question. So, you know, retail media is really our way of measuring how much retailers are adopting our technology. And you're absolutely right, CTV was the engine that started it all with us. It turns out a lot of our retailers, we were able to shift them into more and more solutions. Among them, you know, web, which is our audio, still small, but it's getting there. And I'm absolutely out of full. So our retail media claim plays a lot into physical stores. Oh, I don't know if you guys know this, but physical stores are still representing roughly, I think, 85% of acquisitions, versus online at least for grocery. So our platform and our activity are going to be focusing a lot on how do we drive people back to grocery store physical grocery stores, through order solutions, and that might be, you know, outbound, CTV, web, audio, the entire thing. You're absolutely right. SMBs are absolutely on the table. Now that we have a platform, you know, we're working on creating that. And as a second phase to also SMBs, we're gonna start with since we have Steven Yap, who comes with 25 years of experience with big agencies, retailers, and tier-one brands. Gonna start with that. But SMBs are definitely on our roadmap. Maybe not for 2025, but for going forward, absolutely, this is something on our radar. Does that answer your question?
Laura Martin: It's fantastic. My other question is, on the generative AI large language model. Sounds like you're integrating, you're not only automating, but also using the large language models for you used to be using OpenAI because of your close relationship with Microsoft. But given the breakup, given the divorce, my question is, are you using different large language models as the backbone for PerionOne? Are you using multiple ones? Are you still using the OpenAI backbone, large language model? Can you talk about what's happening on the back end of PerionOne in your generative data usage?
Tal Jacobson: Yeah. Yeah. Absolutely. That's an excellent question. So, you know, even though Microsoft we're in good terms, so no beef there, and we didn't ditch OpenAI, but we do experiment more and more with Google capabilities. And now our lab is actually looking at the DeepSeek algorithms just to see their capabilities. Obviously, they're way cheaper, so a lot more efficient. But it's a bit of early days for that new algorithm. But, yeah, we're working with we're testing all the infrastructures out there. Make sure that we have the right one, with the right structuring, right cost structuring. Obviously, those things are expensive.
Laura Martin: Okay. And just my understanding is, let's say you move to DeepSeek, which is much less expensive. Would you stay on more than one, or once you build on DeepSeek, is it or are the barriers to exit pretty high? Do you have to sort of stay with whichever one you build your cake on?
Tal Jacobson: No. So everything we do stays on, you know, we might take so DeepSeek is an open source. So we might take, yeah, pieces of that. But everything stays on our environment. Since it's an open source, it stays on our environment. Maybe we won't use their different versions or their updates, but we won't build anything that has a high cost of switching.
Laura Martin: Okay. That's super helpful. Okay. Great. Thanks very much, and I love the new disclosure.
Tal Jacobson: Thank you.
Operator: Our last question comes from Jeff Martin with Roth Capital. Please unmute your line and ask your question.
Jeff Martin: Thanks. Good evening, guys. Wanted to drill down a little more on open web. It's still 46% of advertising solutions revenue in the fourth quarter. With you expecting that to kind of level off and grow at some point, what sort of things internally are you doing to facilitate that inflection? And could you pinpoint when in 2025 you anticipate that inflection?
Tal Jacobson: So on the web part of the open web channel, you know, we don't anticipate a big change in 2025. I think the major wins that we're aiming for are out-of-home and CTV, and that's but also, you know, if we can increase web, then we would absolutely love that. But the major focus is on more advanced solutions. Open web is pretty crowded. So we're focusing on more advanced solutions for CTV, for out-of-home, and all across the board for retail media. So that's really the focus. But, again, since we're an agnostic platform, whatever the client wants, that's what we're gonna deliver when they're pushing for a specific channel. But that's how we modeled 2025.
Jeff Martin: Great. And then one more if I could. On the capital allocation as we head further into 2025 and thinking beyond that at the same time. How are you thinking about your acquisition strategy relative to the company's focus on PerionOne, getting that in place, starting to see the benefit from that? Maybe help us understand how you're thinking about potential acquisitions relative to the PerionOne strategy.
Tal Jacobson: Yeah. That's a good question. So, you know, within PerionOne, we obviously, it took a lot of effort to consolidate everything, all the business units, all the brands, and all the technologies. We do not intend to break that again. So whatever we're gonna buy, it has to fit within this platform as additional features to those customers. Right? So it's built in as an extremely synergistic solution. We will never again buy companies that are gonna be standalone. So that's how we were thinking about it. But to be honest, we're now mainly focusing on our organic growth, you know, making sure this transition works well. We just added three amazing executives to make sure that this transition goes well, the unification transition. So we have a lot on our plate, but we still look at some great companies, and as I said, whenever we're gonna find something, it has to be part of this one platform. We're not gonna deviate from that.
Jeff Martin: Thank you.
Tal Jacobson: Thank you.
Operator: This concludes the Q&A session. I'll now hand it back to Tal Jacobson and Elad Tzubery for closing remarks.
Tal Jacobson: Thank you for joining us today. And we're excited about the future. And hope to see you again next time. Thank you.
Elad Tzubery: Thank you.